Mohamed Shameel Joosub: Good afternoon, and good morning to those joining the call in the U.S. Welcome to the highlights call for our 6 months ended 30th of September 2025. I'm joined by our Group's CFO, Raisibe Morathi, as well as our Head of Investor Relations, JP Davids. We trust that you enjoyed our video presentation that we screened before this call. The video is available on our website and covers our purpose-led strategy, Core Vision 2030 and the performance against our strategic ambitions. For those not able to watch our presentation, I will take you through some key highlights from this period. We will then move into a Q&A session. We had a great start to the financial year, delivering ahead of our double-digit EBITDA growth target while also reporting excellent return metrics. Revenue of ZAR 81.6 billion was 10.9% and was supported by an excellent commercial performance. Customers are up 8.6% to 223 million with our Vision 2030 target of 260 million customers well within our sights. Our financial business is also rapidly progressing towards our target of 120 million customers by 2030. We reached 94 million financial service customers in the period, up 13.1%. We see financial services as a key differentiator for our customers and our investment case. Financial services now makes up around 25% of our profit before tax. Our Vision 2030 double-digit growth ambition is supported by product and geographical diversification. We operate across 8 markets in Africa, but manage the business in 4 segments, starting in the North with Egypt, which reported another stellar performance of results. Critically, as the country's macro conditions have stabilized, we are now converting the local currency growth into stellar rand and euro growth. For example, Egypt contributed ZAR 7.8 billion to the group's operating profit, up 66.5% on a rand basis. This growth is broad-based across consumer and mobile business, fixed and Vodafone Cash. Shifting a little further south to Safaricom. As an associate, Safaricom contributed ZAR 2.1 billion to operating profit, increasing 65.3%. Safaricom's result was supported by an excellent performance in Kenya with EBITDA margins of 57.3%, up 2.2 percentage points and lower losses in Ethiopia. Kenya delivered another excellent top line performance with another standout performance from M-Pesa, which was up 14% on a very large base. Our 4 markets that make up the international business more than doubling operating profit to ZAR 2.1 billion. This result reflected double-digit service revenue growth in the DRC, Lesotho and Tanzania. The operating leverage of these assets was also evident in the period with EBITDA margins recovering to 33.9% from 28.2% in the prior period. Finally, to South Africa, which remains the largest component of operating profit at ZAR 8.8 billion, while we delivered growth in consumer contract, Vodacom business and beyond mobile services, it still proved to be a challenging period for South Africa. Pressure on prepaid and a once-off cost weighed on the results. We target EBITDA growth in the second half, but expect prepaid to remain challenging in the near term. We intend to balance price discipline with an appropriate response to competitive noise in prepaid. Before I shift back to the group metrics, we separately announced last week that the long-standing Please Call Me matter had been settled by the parties out of court. The settlement cost was recorded in these results. Both parties are glad that finality has been reached in this regard. At a group level, the strong growth across the 3 segments delivered net profit to equity holders of ZAR 9.1 billion with headline earnings per share of ZAR 4.67, up 32.3%. Our headline earnings included some one-off impacts in the current and prior year periods. If we iron these out of the results, the underlying growth was in the mid-20s. We're also pleased to report a healthy balance sheet and return metrics. Return on capital employed increased 3.8 percentage points to 26.3%. With returns in mind, we have a policy of paying at least 75% of headline earnings as a dividend. For the interim period, the Board declared a dividend of ZAR 3.30 per share, up 15.8%. As a reminder, in the prior period, the Board adjusted the payout ratio to 86% to account for the phasing of Ethiopia losses, which is skewed to the first half. The payout ratio was set to 71% in the second half to balance this out. Starting from performance to purpose, which is at the heart of Vodacom, our video sets out the progress we are making on our 3 purpose pillars of empowering people, protecting the planet and maintaining trust. We have well-established Euro projects and new initiatives that drive each of these pillars. In the period, we launched the marquee program to empower 1 million Egyptian rural women over the next 3 years. This program was created in association with Egypt's Micro, Small and Medium Enterprises Development Agency, CARE Egypt Foundation and Samsung. It is designed to foster digital and financial inclusion by equipping rural women with skills and tools to utilize Vodafone Cash services and engage in digital education. Before we move to Q&A, I will make some comments on our outlook. We remain well on track with our medium-term targets with a clear focus on double-digit service revenue and EBITDA growth. For the remainder of financial year 2026, we anticipate an improved performance from South Africa with strong EBITDA growth from Egypt and international business consistent with our double-digit target. We expect capital expenditures to step up in the second half, having spent ZAR 9.4 billion in the past 6 months. We plan to spend ZAR 23 billion across the markets in the current financial year. That concludes my review. Raisibe and I are now ready to answer any questions you may have.
JP Davids: Thank you, Shameel. There are quite a few questions on South Africa to get us going, and we will start with the top line questions and then move into EBITDA and other variables. So we've got Ganesh from Barclays. We've also got Jonathan Kennedy-Good of Prescient, and Maddy, all asking questions around prepaid. In short, can we give a little bit of commentary on what played out in the quarter? Maybe some color on some of the ARPU trends we saw in the quarter and how we're thinking about these trends into the coming quarters? So what is the second quarter telling us about 3Q and 4Q to come?
Mohamed Shameel Joosub: Okay. Thank you, JP. So I think on prepaid, a couple of things. So firstly, we are seeing the consumer much more under pressure than we've previously seen. So that's the one part. We're seeing consumer wallet impacted by gambling. So we think that's also affecting the consumer wallet. That said, we've also seen some competitive pressures in the half and especially in the second quarter. And as a result of -- and what we've had to do is to make sure that we stay competitive. So we've not lost any customers. We've managed to hold on to our customers. ARPU has broadly remained stable. Q1 was ZAR 58 per sub ARPU and Q2 was ZAR 57 per sub. So the ARPU has kind of remained stable. But of course, there was a much more negative result in the -- minus 2.9% in the second quarter contributing to a minus 1.6% over the half. So what we've done to stay competitive is a few folds. So firstly, making sure that the inflow continues to be strong in terms of customers and balancing out any churn. So I think from a customer base perspective, the base is growing, not declining. So that's the first point on prepaid specifically. The second thing is, we've had to improve some of the offers that we're putting out there to make sure that we're also staying competitive against some of the competitive offers that have emerged. We have some competitors. So the weakness is coming more in voice than it's coming in data. And that's because one of our competitors is throwing in voice or a lot of voice into offers. So we're having to counter that as well in some of our offers. What we're pushing for is more transparent offers. So we've used a lot of private pricing previously. So we're moving towards more transparent pricing, especially you'll see it in our LTE bundles as well, but also trying to push more longer-term bundles so that we can try and gain having grown the segment of shorter-term bundles, we're now trying to get customers more into longer-term bundles so we can get more of the committed spend, especially where a customer is using more than one SIM. Some actions have been taken proactively and some -- especially to give an example, in the fixed wireless space, what we've seen is a very good growth in terms of net adds, gaining of market share. So we've seen -- because historically, we were always under-indexed in that space. And someone like Telkom had a lot more stability in revenues because they had a bigger FWA base. What we've now done is to make sure that we're growing that. So we're seeing 4, 5 points increase in market share from last year to this year. And so that's picking up quite nicely. So we'll continue to grow that segment as well.
JP Davids: Hopefully, that also deals with [Siphelele's] question from Matrix around competitive dynamics in prepaid and Jono had a similar question around SA prepaid. But remaining on South African prepaid, Maddy had a question around the regulatory setup in South Africa. Do you ever see a scenario where South Africa follows markets like Egypt, Tanzania with price floors?
Mohamed Shameel Joosub: I think it's certainly something worth considering and the industry collectively have agreed to approach government in terms of having that discussions. And the reason for that is that it's actually creating a lot more stability. And what we're seeing is that the fragmentation in the markets is actually -- is leading to a situation, especially in a lot of the developed markets where you're seeing it's curbing investment back into the networks, into fiber and so on. So the in-market consolidation, price flows or price regulation has actually proven to be very healthy. So we are, of course, trying to have this more markets on the pricing. Today, we have Egypt and Tanzania, and we're currently busy with the DRC and Mozambique where the regulators are actively considering and have done studies and they have come out with the results. So that -- so we're looking at implementation there. In South Africa, still early days in terms of the discussions, but certainly something that we'll keep trying for.
JP Davids: Sticking with the top line in South Africa, Maddy and a couple of others just had a question around the postpaid trends in the quarter. It looked like a little bit of a slowdown quarter-on-quarter. Any cause for concern there? Or does the outlook remain broadly unchanged for postpaid?
Mohamed Shameel Joosub: I think broadly postpaid is growing around 5%. There's some deferrals from last year this year that create a little bit of noise in the half yearly results. But I think the underlying trend is around about 5% on contract, and that will remain stable this year, the previous year and probably into next year as well.
JP Davids: Shifting to South Africa's EBITDA and perhaps also EBITDA margin. I think there's sort of 8 different questions being asked of the same nature, but in slightly different ways, which is, can we help try and understand -- the participants on the call understand what 1H would have looked like without the one-off cost in it? And if we are unable to do that, perhaps provide some color into the second half of the year around what South African EBITDA growth or margins could look like?
Raisibe Morathi: So as the settlement arrangement is highly confidential. Unfortunately, we're not able to give you the normalized view, excluding that. But I think just looking at where we landed at EBITDA minus 5.3%, it is quite clear that it's not a number that is shattering. I think we have put that behind us. And the forward look is that we expect our EBITDA growth to somewhat normalize in the second half of the year and to end the EBITDA margin, which is printing somewhere between 36% and 37%, which is back to the trend that we had outside of this settlement that we have put up behind us now. And in terms of where that is going to come from, was cautious that the prepaid trend has been quite tough. So a lot of initiatives that Shameel spoke about in terms of improving the trend in the prepaid revenue, but also continue with the journey on our costs. So our cost program is still fairly robust. And that is covering a range of things from the sharing agenda to really managing our day-to-day headcount costs and all of those everyday costs. And we do believe that our efficiencies will still come through to support the normalization in the second half.
JP Davids: Thank you, Raisibe. Just before we leave South Africa, we switch track a little bit. I think Nadim just has a follow-up on prepaid. It's Nadim from Standard Bank. Just asking a slightly more specific question around the SA prepaid menu. Are you in the process of transforming the South African prepaid menu to adjust for the current market context? I guess picking up on your discussion around transparency, et cetera. So maybe just another minute or 2 on that. And what he's trying to see is, are you trying to drive any specific type of behavioral shift that you'd like to see in the customer?
Mohamed Shameel Joosub: Yes, I think it's a couple of fold. One is that making sure there's more transparent offers versus, let's call it, basically private pricing. So more making sure that all customers can see all the offers, keeping a lot of the offers static is the one part because you have a percentage of the base that is not private pricing engaged. So you lose out on that part of the customer base who doesn't see it. So that's the one part. And then, of course, creating more competitive structural offers that stretches the customer into weekly, bimonthly and monthly offers so that you can actually get more longevity out of the customer. You'll also see we've launched things like spend-and-get. If you spend a certain amount, ZAR 120 with us, we give you free funeral cover as an example. So that caters for the customers' need because that same customer would be buying funeral cover and normally telco. So if they spend ZAR 120 with us for the month, and they can buy whatever packages they want to, then that will unlock free funeral cover. And that's already existing in digital channels with VodaPay and is actually picking up quite nicely in terms of take-up.
JP Davids: There are a few questions on the call around the estimate for the settlement for the Please Call Me matter. Just to reiterate what Raisibe said, that's a confidential agreement, and we will not be disclosing that number. Shifting gear to the fiber landscape. We've got a couple of questions there. [indiscernible] from there is asking around HeroTel and Fibertime scaling very quickly with their coverage in townships where around 1/3 of the population stays in South Africa. What are our plans for township in rural areas when it comes to fiber connectivity? So that's the first question on fiber. The second question on fiber comes from Funeka from Nedbank asking just around the sustainable return on investment on the Maziv deal. So over what period do you expect that you'll generate that sustainable return on investment?
Mohamed Shameel Joosub: So on the -- on fiber generally, so remember, Fibertime and those solutions are out there. But remember, HeroTel is part of the Maziv transaction. So remember, Maziv have acquired HeroTel with the final piece still at the competition authorities, but they already own 49% that's part of the deal. So that is already part of the Maziv deal and of course, you add that capability there as well. So you've got the secondary towns, you've got the townships and you've got the rural areas that are all covered by the rollout of fiber. And I think the models are very clear. So we, of course, are cognizant of the Fibertime, what they're doing as well. And we're doing similar kind of things in Kenya. So we're also seeing a lot of success in connecting multi-dwelling units, I would say, at an even lower price per home connected in Kenya. So in fact, we were just in an earlier call with staff showing them the benefits and the uptake of that service. So we'll use the learnings from across our markets to roll out in South Africa, but also into the other markets as we look to build FiberCos in each of our markets.
Raisibe Morathi: So in terms of the return on investment, so similar approach that we follow with all M&A that we would target the return to exceed our cost of capital, which, in this case, is roughly about 15%. So -- and we expect that to take place in the medium term. So we're quite comfortable that the value add of this investment, both quantitatively and qualitatively is quite strong.
JP Davids: Shifting out of South Africa for a bit. Just one question on international before we move on to Egypt. And the question on international is really around the margins in the first half from Rohit at Citi. He's just asking what is the driver of that improvement in the first half? And is this level of margin sustainable going forward, that being close to -- sorry, 34% EBITDA margin?
Raisibe Morathi: So yes, it is sustainable. We're quite pleased to see an improvement in our international business, noting that the prior year was also impacted by the one-offs in DRC, which we are over that. We are now moving along. And DRC was always a very strong top line growth. And that list of items that we dealt with last year, it is a business that we continue to see some prospects for growth. We've also called out Tanzania, which has really done very well, supported by a stable macro environment and also a pricing environment that has a price loss. So the momentum that we're seeing in Tanzania continues. And we're also doing a network replacement, which is really positioning us very well to be more 4G ready in more sites. So quite exciting. We're seeing a very nice recovery in Mozambique, where -- from the election disruptions to pricing disruptions, that we had in the past. So whilst we are still in negotiations to see whether or not the price growth can be implemented and implemented the correct way this time around. But nevertheless, we are seeing some operational momentum where there's less and less of a negative growth. And now we actually ended with a quarter that is a positive growth, so really contributing and of course, with [indiscernible] also quite stable. So the sustainability of margin in IB absolutely, and we do think that there's even room for improvement of that margin going forward.
JP Davids: Moving to Egypt. I'll pick up Funeka's question from Nedbank because it's relayed by quite a few people just around the EBITDA margin in Egypt at around 46%, 47%, excluding sort of lumps and bumps in the half year. Is this a sustainable medium-term margin? And related to that, what is driving that margin upside in both Egypt and IB? Is it operational leverage? Is it cost cutting? What's behind that?
Raisibe Morathi: So there is strong growth top line. Egypt still grew in the 40s in terms of the service revenue. Of course, we had a price increase of 30% in the last quarter last year. So as we left that, the last quarter of this financial year, we will probably dip into the 30s, but still robust growth driven by operational momentum and basically all the different components in the business being financial services, CBU, enterprise and all of that really do very, very well and with a very strong CVM offerings. So the margin of 47%, that is a bit of an outperform where we expect that margin is sustainable at around mid-40s, 45% and thereabouts. But of course, if we can achieve more than that, we'll absolutely be happy. But I do think that expectations at 47% is probably a little bit too high at this point in time. And particularly as we are expecting that the revenue growth will normalize as we lap the price increase. \And I've already covered the IB environment. And maybe just one more point on IB is that before the challenges that we experienced in Mozambique, Mozambique was running at an EBITDA margin of 40%. So there's still a lot of room for Mozambique to improve. So all of that and all those dynamics, we believe that they do position us for sustainable EBITDA margins in those 2.
JP Davids: A quick follow-up there for Shameel. Rohit, just asking what is the scope for another price increase in Egypt next year?
Mohamed Shameel Joosub: Yes. So I think I don't think we should pencil in automatic price increases. I think really the devaluation or if there's a devaluation, then I think one can then approach government for a price increase. So -- but I think given the price floors that we have in that market, you're going to have strong conversion, traffic up, rate steady and you'll still have a consistent conversion of that into revenue. So I mean, in the half, traffic was up 22%. So you've still got very strong traffic growth, and therefore, you've got strong ARPU growth. In terms of price increases, we also have a mechanism where we do have what I call natural price increases each year where we give customers more for more, and that's part of our modus operandi in Egypt, and that also contributes positively to our growth. And what we are seeing is that you'll see us having put a little bit more CapEx or more CapEx into Egypt this year because we are seeing that revenue monetize very quickly, especially as we're rolling out more 5G sites, and that's also helping to monetize very quickly. So the average payback in Egypt being less than a year, so if we put up a new tower. So we are, from a capital allocation perspective, also carefully managing where we allocate capital.
JP Davids: There are a couple of questions on financial services. I'll start with the high-level ones, and then I'll get into the more specific ones. So at a high level, Jono is asking around our appetite to list the financial services business, noting that a couple of our peers appear to be doing that at the moment. And then Jonathan from Prescient is trying to get more color around the micro lending landscape. And he's trying to get a sense of how these micro loans such as Fuliza, if they can be perhaps detrimental to voice and data spend? Or is it, I guess, a net-net positive for the customer where you extend these micro loans?
Mohamed Shameel Joosub: Okay. So maybe a couple of things. So on the financial services side, I think really, really strong growth across all our markets, $477 billion of transactions, up 13%. The way I like to think about it is our take rate is about 0.4, 0.5 per transaction. You can see ZAR 8 billion from Vodacom, ZAR 12.2 billion from Safaricom during the period. So that's annualizing at about a $2.2 billion a year or over ZAR 40 billion of revenue coming from fintech. Now what we're trying to position is we're not looking to separately list the financial service businesses because we do see it intricately linked to our value proposition that we're providing to the customer. In fact, we see it more closely linked and then coupling that with loyalty going forward. What we are looking at, and that's why we're giving so much color on it is that the positioning for us is that we have something very different to offer from a normal telco. And with a 25% contribution coming through, to profit coming through from the fintech side. What we're also doing is we're building centers of excellence and then using that to basically push through the group. So an example would be in South Africa, we have a very big insurance business and a lot of capabilities and platforms that we built. So now we're using that as a center of excellence to expand into more markets with Kenya and Tanzania being the 2 markets that we'll focus on. So we're not trying to do everything at once. We're also going -- making sure we can pick up on it. And then on the reverse, what we're doing is on international money transfer, we'll do it the other way around. We'll take it to Egypt, we'll take it to South Africa. We'll take it to Ethiopia and so on. And the same with -- we're seeing a lot of benefits coming through now starting with investments, and it's starting to scale very quickly. In terms of your question on lending, there's no balance sheet risk on it. We do about $11 billion of loans now, but it's all -- the balance sheet risk is taken by the lending institution, and we take a good margin on it. And depending on the type of product, the margins are higher or lower. So we have -- so example would be overdraft style products have a very, very high margin. In terms of is it contributing or detracting from airtime? These services have been running for many, many years now. And actually, it hasn't impacted airtime at all. I mean take a market like Kenya, the market is still growing very, very strongly, but our fintech services is sitting at 44% of revenue. So actually, it's beneficial to airtime, not necessarily. So you would have an airtime advance or in some of the M-Pesa markets, you could even take a loan, then buy airtime. So we see it as actually being complementary as opposed to detracting from the revenue. Remember, you're not paying for the services through airtime, you're paying for it from your wallet.
JP Davids: There is a specific question on financial services from Nadim and just really building on that answer you've given, Shameel, which is what are the focus areas for Egypt over the next sort of 12 to 24 months in terms of that financial services ecosystem.
Mohamed Shameel Joosub: I think there's quite a few. And if we take from the learnings from the other markets, Egypt is still very much still P2P. So that's person-to-person payments and money transfer. So I think growing out the payments ecosystem, growing out the merchants ecosystem, bringing in the lending part, bringing in insurance, bringing in international money transfer. So there's a whole host of services, virtual cards, all of these type of things. There's still a myriad of different products that we can still grow in Egypt. But I think what's very positive in Egypt is that the base also continues to grow because of the amount of people that are unbanked. And what's happened is that's why we've got such a large market share in the wallet. The wallets become the trusted part. So remember, there was also a trust element of people keeping their money, let's say, not in banks and so on. And now they're becoming more and more confident in that context. So that's why we're seeing this big growth that we've seen over the last couple of years.
JP Davids: We have a few group questions, and then we'll come back to South Africa. So first one is from David at New Street Research. Just wanted a little bit more color around that CapEx step-up in the second half of the year. Where do you intend to deploy more CapEx in the second half? Perhaps the next one for Raisibe is. It's just a clarification from Maddy. He asked, was the settlement factored into the EPS base when considering dividend per share. So just wanted to know, did we adjust for that, yes or no? And then perhaps again back to Shameel, Maddi just asking around whether there's any sort of M&A action to anticipate from our side? Where are we focused from an M&A perspective at the moment?
Mohamed Shameel Joosub: Okay. So look, I think from a CapEx perspective, of course, I mean, the obvious one, if you spend ZAR 4 billion in South Africa, we have to spend close to ZAR 12 billion. So there's ZAR 8 billion of the additional spend going towards -- to South Africa specifically. So that's the one. And then there's more CapEx that we've allocated to both IB and Egypt for the remaining part of the year to make sure that we can continue to take advantage of the growth that we're seeing, specifically in Tanzania, DRC and Egypt.
Raisibe Morathi: So in terms of whether the settlement is coming all the way through to EPS, that is correct. And we did not make any adjustment in terms of considering the dividend.
Mohamed Shameel Joosub: So from an M&A perspective, I mean, we -- I'd say, look, the big thing for us is, of course, to finally get the approvals on this massive transaction that the cash flow and so on so that we can start to unlock the benefits of that transaction and the benefits to society in general in South Africa as quickly as possible. So a little bit frustrating, to be honest. Hopefully, it will be sorted out in the next week or 2, but a little bit frustrating that it's taking so long given that we've already had conditional approval on the transaction from ICASA. That's the one. And then further M&A opportunities a little bit -- so it will be -- a lot of it will be centered around basically more JVs and these type of things around fiber and where the opportunities lie, where there's an opportunity to do -- what we want to do is to do rural coverage and fiber in all markets and also data centers. So where there's an opportunity to partner, we will partner. So that's the one part. But these are small-sized investments. Then, of course, the rest is a little bit, of course, if there's any opportunities for in-market consolidation, certainly something that we would consider. Yes, and we're kind of keeping our powder dry in case some opportunities present themselves.
JP Davids: Okay. There are going to be a few more, I guess, specific questions now across the portfolio. Let's come back to South Africa. So Preshendran has 2, Preshendran from 361. He asked firstly around gambling in South Africa. Is the gambling data traffic zero rated? Or is it paid by the gambling houses? And how do these vouchers work, for example, the ones that are available on Vodapay? Perhaps related or unrelated to that, he's just asking around the growth in financial services for Vodacom South Africa. What is driving Vodacom Financial Services revenue growth at the moment?
Mohamed Shameel Joosub: Okay. So firstly, on gambling. So the platforms, if they are 0 rated, basically is done through what we would call reverse build data. So we're certainly not zero rating any gambling parts because there's nothing enough for us to do it. But you can buy reverse build data and then zero rate it. And so some of the gambling houses are doing that, and they are zero rating data across networks, but they're paying for it. Secondly, on vouchers, essentially, all we do is we sell vouchers. So we sell food vouchers, we sell fuel vouchers. We sell clothing vouchers, we sell gambling vouchers. So that's all in the Vodapay store, if you like. And yes, we have seen a good tick up of that as well. And so clearly, people are buying gambling vouchers. But frankly speaking, if they don't buy from us, they're buying from someone else. So -- and part of the -- let's call it, the super app is having these services available. In terms of financial services in South Africa, so you're seeing very strong growth coming through in terms of the insurance business. So insurance business is growing in the teens. So that's been a very strong growth for us. and it's picking up quite nicely, and we're looking at how can we take the expertise that we've built and actually take it to the international markets. And then we're still seeing a good tick up on the payment services. And then, of course, on VodaPay in terms of things like airtime that we're selling directly, the -- we've more than tripled the amount of airtime we're selling directly versus what we were selling before. So more than 10% of our airtime coming directly through our channels. And by combining the apps, we've actually seen an uplift in terms of the amount of transactions that we're doing, and that's picked up quite nicely.
JP Davids: Jo has a specific question on Airtime Advance in South Africa, which I will take. He's asking what proportion of financial services revenue is from Airtime Advance. It's not a specific number we give out, but it is well less than half of the number. But unfortunately, not going to get much more out of us than that. David from New Street, wanted to follow up on the competition levels in South Africa, particularly the prepaid space and after the quarter. So what are we seeing into, I guess, what we call our sort of summer campaign or summer season?
Mohamed Shameel Joosub: Yes. So I think -- so a couple of things on the summer season. I think, of course, for us, we'll be betting against a very strong comp from last year because we had an excellent [indiscernible] but of course, it's always a good period for us as we go into the summer period, and we look for an uplift from Q2 to -- from Q3 to over Q2. So that's an important part for us. What we have done is basically put out some compelling offers going into the summer period, dealing with some of the competitive stuff that we've seen and so on. And I think part of it, of course, is also some competitors overreacting and throwing a lot of voice [ and naturally the ] decline actually in prepaid is more coming from the voice side than it's coming from the data side. And that's because some competitors have thrown in a lot of voice into offers and then we've had to compensate for that by improving the offers on our side. So there's a bit of that playing out into the market. And and it's not the MVNOs. So that's the issue that we have there. But I think as we're going into the summer period, making sure we're competitive at the point of sale in terms of devices, inflow, the offers itself, utilizing the loyalty, driving people towards our app, but also our loyalty programs and so on is very much part of the summer promotion.
JP Davids: We have one last question on the webcast at the moment. So I'll pick it up. The last question as it currently stands is from Anup at Moon Capital. He wanted to chat about tower mergers in Egypt. Is there a possibility of tower mergers in Egypt? Just your thoughts around if there's anything there to be interested in and whether we would take part in any sort of tower plays in that market?
Mohamed Shameel Joosub: To be honest, nothing on the cards at this stage and nothing that we're considering or even looking at in terms of tower mergers. Is there possibilities? Sure, depending on who wants to sell their towers. And would -- is it something that we would consider? I think it would depend on what is it offer and effectively what the benefits are for us because we have got a high level of sharing in that market. So one would have to look at it on its merit and see if there's any synergies, opportunities in terms of whose towers and what does it look like at this stage, there isn't really any towercos in the market. There was talk of IHS being licensed a couple of years ago, but actually it didn't amount too much or nothing really happened. But other than that, there's no towercos. It's all owned by the towercos.
JP Davids: My call for more questions prompted more questions, which is great news. So -- the first one of these comes from Matrix, a follow-up question. He wanted a bit more color on our thoughts around the MVNO space in South Africa. And his specific question is, what is our thought around what this market share could look like for the MVNOs in, I guess, in the medium to longer term? So how much market share do we think MVNOs could take? Perhaps just staying with South Africa, let's ask a second one at the same time. Jono has a follow-up from Absa. Is there any sense of how long this increased competitive environment in South Africa could go on for? -- do we get a sense that this is a couple of quarters? Or is this something we're anticipating drags into FY '27? And thank you, Jono, for acknowledging that's perhaps an unfair question.
Mohamed Shameel Joosub: Yes. So firstly, on the MVNO space, and I think always important to remember, MVNOs buy from MNOs. And in this case, an MVNO is buying from an MVNO who's buying from a telco. So effectively, or if you want to call Cell C and MVNO, if you like. But what we're seeing is that we haven't really seen any change in the customer bases or in the revenue lines as it relates -- as it goes into the Cell C numbers or even into the MTN numbers where more of the MVNOs are sitting. So there hasn't really been any change in market shares in that context. So that's point number one. Point number two is always remember you're buying from someone, so you have to mark up that service. I think with the competitive parts that you're seeing at the moment, that changes the game a lot in terms of also the -- let's call it, you'll see some of our competitive offers that are out there for summer, some of the offers that are coming from MTN, of course, from Telkom and so on. So I think that reduces. So whether you like it or not, you've actually reduced the competitive gap, if I can put it that way, between you and what the MVNOs could potentially do. Also, I think when you come up with more transparent offers, you're also reducing that gap further because you're putting out to all your customers the same price point. whereas on CVM, you maybe have 60%, 65% of your base. So 35% of your base weren't CVM engaged. Now they're seeing the office straight up. Those are the kind of transitions that were happening. And I think that will make the MVNO case, how should I say, interesting, more difficult. You can choose the adjective that you want to for it. But I think that's really the way I see the MVNO part. And of course, I think where there's a loyalty play, I think that's a different part. And I always say, if the banks want to give the telcos money, then the telco should take it. So that's different. I think like what you're seeing, would say, [indiscernible] consistent base last 12 years, giving to some of the high-value customers, better offers, that type of thing or offers, I wouldn't say better offers, but offers. Those type of things, I think are sustainable, but they're also being funded and they're being funded out of somebody else's wallet. But if it's a pure price game, I think when the competitive dynamics, as you're seeing at the moment, we don't sit by and leave it. So we will take the negative, but we also make sure that we respond. Do I think it bottoms out? Yes, I think it does. But honestly, it's not an exact sign, so we'll have to see. But I think what we've seen historically is you go through a few quarters of this and then you gain stability.
JP Davids: So, noco has a follow-up question on voice revenue. It's not clear whether it's in the context of South Africa or the group. So perhaps we can just provide a lens on both. Just how do we think about voice and voice revenue, the outlook for voice and voice revenue going forward?
Mohamed Shameel Joosub: So I think if you look at the group in total, basically, voice now consists of 16.6% of the group's revenue. And that was flattish, so minus 0.2% during the half. So you can see that structurally is becoming less as the other sides are growing much faster. So it's becoming less and less of an issue. I think voice will have its challenges. Some markets, of course, voice is still in growth. example, Egypt, the DRC, Tanzania and so on. And then you have some markets where like South Africa, where voice is actually in decline, driven by things like OTT voice, but also driven by where competition have just thrown in like what we've recently seen to improve their competitive part, they've just thrown in voice. Of course, MVNOs by that. So you'll know what I'm talking about one of the big players throwing in voice sadly, and that's what's caused some of the weakness in voice for all of us.
JP Davids: Adrian from PSG Wealth had a question on what we think the value Optasia brings to telco operators just generally. I guess this would obviously be in the context of Optasia's recent listing.
Mohamed Shameel Joosub: Yes. Look, I think, of course, they've been a partner of ours for a long time. They add value on the Airtime Advance part and so on. And we've made sure that we've -- let's just say that we have a good deal, let's put it that way, on the one side. And then on the other side, as they increase their new products and offerings, of course, we would look to scale some of that into our markets. So an example would be the offering overdraft products in the DRC. So -- and we're partnering with them there. So as some of these products come to market, we will consider it. Of course, it's different to Airtime Advance because you're also then competing with some of the banks, the likes of KCB and Access Bank and so on in these different markets. So we look at it on a market-by-market basis. And if the margins are better and if it opens up a bigger base for us, then we consider it.
JP Davids: Then what looks like our last question for the moment from Robert at Deutsche Bank. He references some press reports about a breakup at Safaricom by the government a little while ago. Any update on that? And would you move to increase your stake in that eventuality?
Mohamed Shameel Joosub: So there's no discussions about breaking up Safaricom. I can categorically say that as I'm on the Board, so is Raisibe. So there's nothing being envisaged in that respect. In terms of increasing stakes, we look at in any market where our partners want to sell, we would consider it. And of course, we'd expect that they would talk to us as we've been partners for a very long time. So in all our markets. So I think in that context, if there is a want to sell, I'm sure they'll talk to us.
JP Davids: Thank you, Shameel. Thank you, Rose. We are done with the Q&A. Shameel, did you want to quickly wrap up?
Mohamed Shameel Joosub: Yes. Maybe just to say thank you to everybody, and we'll see you on the road shows. But if they have any questions, please reach out to JP. Of course, I think for us, this was an important half because it's the first proof point down to EBITDA and earnings of the 2030 strategy and very happy that as someone put it today, I saw one of the headlines best results in the last 10 years, and I think that's probably accurate. We -- it's the highest earnings growth we've had probably longer than that, in fact, but very, very pleased with the outcome. Also very pleased with the underlying growth. And I think for me, the strategy that we've put together, both from a geographical diversification perspective, is paying dividends, but also from a product diversification with the fintech and fiber and IoT also playing out quite nicely into the numbers. So nice to see that the strategy is now bearing fruit because you lay the foundations and then you start to see the benefits a year or 2 after that you laid those foundations. So really strong in that respect. So looking forward to a good second half. Thank you.